Operator: Good morning, ladies and gentlemen, and welcome to the Martin Midstream Partners LP fourth quarter 2017 earnings conference call webcast. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Bob Bondurant. Please go ahead.
Bob Bondurant: Thank you, Emily. To let everyone know who's on the call today, we have Ruben Martin, our CEO; Joe McCreery, our VP of Finance and Head of Investor Relations; and Scott Southard, VP of Commercial Development. Before we get started with the financial and operational results for the fourth quarter and the year, I need to make this disclaimer. Certain statements made during this conference call may be forward-looking statements relating to financial forecasts, future performance and our ability to make distributions to unitholders. We report our financial results in accordance with generally accepted accounting principles and use certain non-GAAP financial measures within the meanings of SEC Regulation G, such as distributable cash flow; and earnings before interest, tax, depreciation, amortization, or EBITDA; and we also use adjusted EBITDA. We use these measures, because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the partnership's cash available to pay distributions. We also included in our press release issued yesterday, a reconciliation of EBITDA, adjusted EBITDA, distributable cash flow and quarterly adjusted EBITDA guidance to the most comparable GAAP financial measure. Our earnings press release is available at our website, martinmidstream.com. Now, I would like to discuss our fourth quarter performance compared to the third quarter, and also discuss our fourth quarter and annual performance compared to our guidance. For the fourth quarter, we had adjusted EBITDA of $49.3 million compared to $27.1 million in the third quarter. Our distributable cash flow for the fourth quarter was $31.2 million, which provided a quarterly distribution coverage of 1.59 times, for the year our distributable cash flow was $91.1 million, which provide an annual distribution coverage ratio of 1.18 times. For the fourth quarter our adjusted EBITDA of $49.3 million compared to guidance of $48.2 million and for the year our actual adjusted EBITDA of $156.2 million compared to guidance of $157.4 million, a slight difference to annual guidance of $1.2 million. Now by segment, I would like to discuss our fourth quarter operating performance compared against the prior quarter and also discuss our operating performance compared to our segment guidance for the quarter and for the year. In our Natural Gas Services segment, our fourth quarter adjusted EBITDA was $29.7 million, compared to $14.5 million in the third quarter. There were unrealized non-cash mark-to-market losses of $3.8 million in our Natural Gas Services segment in the fourth quarter compared to no unrealized mark-to-market gains or losses in the third quarter. These derivative instruments are used to hedge our NGL inventory. The mark-to-market adjustments affect our reported net income, but have no impact to adjusted EBITDA. Also included in adjusted EBITDA was $1.2 million in distributions from West Texas LPG in the fourth quarter, compared to $1.7 million in distributions from West Texas LPG in the third quarter. The significant portion of the increase in cash flow between quarters for our Natural Gas Services segment was primarily from our butane logistics business. In the fourth quarter, our butane logistics business continued selling a spring and summer seasonal build of inventory in order to adequately supply our customers' demand which begins in the fourth quarter. Butane sales will also carry over to the first quarter 2018. As a result of selling a significant portion of our butane inventory our cash flow from our butane logistics business increased $13.4 million between quarters. As we continue to liquidate our butane inventory, we will also continue to paydown our revolving credit facility. Now compared to our fourth quarter guidance, our Natural Gas Services segment was right on forecast, although there were variances in different businesses within this segment. Our butane logistics business exceeded guidance by $1.6 million, as our per gallon margin was greater than forecasted. Also, Cardinal Gas Storage exceeded forecast by $0.6 million due to stronger interruptible revenue than forecasted. And also our propone business exceeded forecast by $0.4 million due to colder weather than forecasted. Partially offsetting the performance in these areas was the underperformance of our legacy NGL business and a shortfall in our forecasted distribution from West Texas LPG. Our legacy NGL business missed forecast by $0.8 million, primarily as a result of reduced NGL volumes. In addition to this shortfall, our distribution from West Texas LPG missed forecast by $1.8 million. We had anticipated resolution from the Texas Railroad Commission on West Texas LPG's dispute over market tariff rates by mid 2017, but this not happen and still has not happened, resulting in our missed distribution forecast from West Texas LPG. Now compared to our annual guidance, our Natural Gas Services segment missed our forecast by $1.1 million as we realized $75.8 million of adjusted EBITDA compared to guidance of $76.9 million. Cardinal Gas Storage exceeded annual guidance by $3.1 million, primarily as a result of unforecasted interruptible revenues. Our butane logistics business exceeded our guidance by $2 million as a result of better per gallon margins than were forecasted. Offsetting this positive performance was underperformance in our other three business lines in our Natural Gas Services segment. Our distributions from West Texas LPG were $3.5 million less than forecasted as a result of there being no red solution in our market tariff rate case and from the Texas Railroad Commission. Our legacy NGL business missed forecast by $1.6 million as a result of reduced volume purchased and sold. And finally, our wholesale propane group missed annual guidance by $1.1 million as a result of a warm winter in the first quarter of 2017. Now moving to our Terminalling and Storage segment, our fourth quarter adjusted EBITDA was $12.3 million compared to $13.2 million in the third quarter, a decline of $0.9 million. This decline in adjusted EBITDA between periods for the Terminalling segment was primarily due to reduced margins in our packaged lubricant business. Adjusted EBITDA from our packaged lubricant business failed from $2.3 million in the third quarter to $1.6 million in the fourth quarter. Our lubricant supply cost increased during the fourth quarter and due to a lag in our ability to raise prices as a result of competition our margins were reduced. However, we have been able to increase prices and therefore margins beginning in the first quarter of 2018. Now compared to fourth quarter guidance, our Terminalling and Storage segment missed our forecast by $3.1 million. As we have forecasted $15.4 million of adjusted EBITDA. The majority of the missed guidance was due to increased repair and maintenance cost in our specialty Terminalling group as a result of the impact of Hurricane Harvey. And compared to guidance for the year, our Terminalling and Storage segment in this forecast by $4.6 million, as our adjusted EBITDA was $54.5 million compared to guidance of $59.1 million. The impact from Hurricane Harvey between repair and maintenance cost and missed revenue due to downtime accounts for the significant majority of the $4.6 million missed to our annual guidance in our Terminalling and Storage segment. Now in our Sulfur Services segment, our fourth quarter adjusted EBITDA was $8.7 million compared to $2.6 million in the third quarter. Our fertilizer business had an increase in adjusted EBITDA $4.4 million between quarters; while our pure sulfur byproducts business adjusted EBITDA increased $1.7 million. And as you may recall in the third quarter, we had annual turnarounds at our sulfuric acid and ammonium sulfate plant in Plainview, Texas and at our ammonium thiosulfate plant in Beaumont, Texas. All three plants were fully operational in the fourth quarter aligned for an overall 175% increase in combined production which drove our manufacturing cost of goods sold down relative to the third quarter through increased fixed cost absorption. This was the primary reason for the fertilizer cash flow increase in the fourth quarter compared to the third quarter. The increase in the pure sulfur side of the business was primarily because of the production increase in sulfur from key refinery producers, as these producers have significant downtime into the third quarter due to Hurricane Harvey. This led to a significant increase in sulfur turns handled in the fourth quarter compared to the third quarter. Now compared to fourth quarter guidance, our Sulfur Services segment exceeded forecast by $3.6 million. Our fertilizer group accounted for $2.6 million of the outperformance as our fertilizer ton sold exceeded forecast by 24%. Also our margin per ton sold was better than forecasted due to improved absorption of fixed manufacturing cost. Our pure sulfur side of the business exceeded guidance by $1 million primarily due to opportunistic selling of pure sulfur churns. Now compared to annual guidance, our sulfur services segment exceeded forecast by $4.2 million. This strong performance relative to guidance was primarily from our fertilizer business. The fertilizer business exceeded guidance by $3.8 million primarily as a result of the 22% improvement in margins per ton realized compared to our guidance. Now moving to Marine Transportation. This segment had adjusted EBITDA in the fourth quarter of $2.2 million compared to $1.1 million in the third quarter. The cash flow from our inland side of the business was up $300,000 between quarters as a result of a 12% increase in utilization. In the offshore side of the business, our cash flow increase $0.6 million between quarters, as our offshore total is fully operational during the entire fourth quarter, after being in the shipyard during a portion of the third quarter. Now when compared to fourth quarter guidance, our overall Marine Transportation segment exceeded forecast by $0.3 million. Our offshore business exceeded forecast by $0.4 million primarily due to lower repair and maintenance cost than was forecasted. And finally compared to annual guidance, our Marine Transportation segment exceeded forecast by $0.3 million primarily due to better performance in our offshore business due to reduced repair and maintenance expenses. Our unallocated SG&A was $3.6 million for the quarter and $15.6 million for the year. This annual cost was exactly what our guidance was for the year. Our maintenance capital expenditures and turnaround cost for the fourth quarter were $5.6 million and were $19.7 million for the year just slightly below our annual guidance. During the fourth quarter, we did sell one of our assets held for sale, realizing $6.7 million in net proceeds. We continue to carry $9.6 million in assets held for sale and we hope to realize the value of these held for sale assets in 2018. For the overall partnership, looking toward the first quarter, in addition to our stable fee-based business lines, we should see continued strong performance from our two primarily seasonal margin based business lines, our butane logistics business and our fertilizer business. As a result, we should again have very strong DCF coverage in the first quarter. Now, I would like to turn the call over to Joe, to discuss our balance sheet, capital spending and a few comments regarding West Texas LPG's tariff case in front of the Texas Railroad Commission.
Joe McCreery: Thanks Bob. I'll start with the normal walk through of the debt components of our balance sheet in our bank ratios, then provide a quick review of our fourth quarter and full year capital spending and finally some insight into our West Texas LPG tariff case currently in front of the Texas Railroad Commission. On December 31st, the partnership's balance sheet reflected total long-term funded debt of approximately $813 million. Our balance sheet funded debt is shown in our filings before unamortized debt issuance and unamortized issuance premiums, as actual funded debt outstanding was $819 million. Reconciling this amount at quarter end, our revolving credit facility balance was $445 million, and the notional amount of our senior unsecured notes was $374 million. Thus the partnership's total available liquidity under our revolving credit facility on December 31st, was $219 million based on our $664 million revolving credit facility. For the quarter ended and the year ended December 31, 2017, our bank compliant leverage ratios, defined as senior secured indebtedness to adjusted EBITDA and total indebtedness to adjusted EBITDA were 2.78 times and 5.11 times respectively. Our bank compliant interest coverage ratio as defined by adjusted EBITDA to consolidated interest expense was $3.47 times. Looking at the balance sheet, total debt to total capitalization on December 31, was 73.2% essentially flat when compared to the third quarter. In all, at year end, the partnership was in full compliance with all banking covenants, financial or otherwise. Now, I'd like to discuss our capital spending during the fourth quarter and full year 2017 starting first with our growth capital expenditures. Growth capital spending was higher than guided during the fourth quarter as we spent approximately $6.9 million. Approximately $2.8 million was attributed to the Martin Marine Transportation segment, were we commissioned a new push boat to be constructed at a total cost of approximately $4.5 million. This boat which will be delivered during the second quarter of this quarter will help reduce our overall operating cost as we continue to rationalize our equipment within the segment. Also during the quarter, we spent approximately $2.7 million finalizing the Hondo Asphalt Terminal in anticipation of this year's winter inventory fill now underway. Full year growth capital spending was approximately $43.5 million, on which the Hondo Terminal consisted of $35.8 million. At this time, we will be recalling our 2018 growth capital spending estimate, until we deliver guidance. But it's safe to say that the previously announced West Texas LPG pipeline expansion project of which our 20% ownership interest requires $40 million of committed capital will be with the overwhelming majority of the growth dollars we spent this year. Now let's look at maintenance capital expenditures. We've spent $5.6 million during the fourth quarter in line with our revised guided level. Likewise our full year maintenance capital spending was $19.7 million is again on track with the downward revision we provided during the last quarterly earnings call. Now, I would like to discuss the West Texas LPG tariff case. As most are aware certain shippers filed complaints with the Texas Railroad Commission challenging increased rates, the West Texas LPG Pipeline implemented on July 1, 2015. The complainants requested that the increased rate to be suspended until the Railroad Commission determine appropriate new rates. On March 8, 2016 cont rates at the recommendation of the Administrative Law Judge handling the matter the Railroad Commission issued in order directing that the West Texas LPG rates in effect prior to July 1, 2015 would be the lawful rates for the duration of this case unless changed by the Railroad Commission. A hearing on the merits was held before a hearings examiner during the week of March 27, 2017, which the facts of this matter were fully developed. The hearings examiner subsequently issued a proposal for decision on September 29, 2017. This proposal for decision found a competitive market exist both geographically and functionally and that no shipper on West Texas LPG's system are in a purely captive market. On December 5, 2017, this matter was considered by the Railroad Commission and one of the commissioners requested additional time to review the materials related to the matter, thereby delaying its consideration until the next Railroad Commission meeting on January 23, 2018. In our opinion this could get a further unnecessary delay as this matter has already been pending for over two years. At the January meeting, Commissioner Ryan sitting strongly agreed with the findings of the hearings examiner that a competitive market does exist and the case should be dismissed. Despite such findings, the two other commissioners requested a further market study to be developed for the limited purpose of admitting and considering additional relevant evidence regarding the competition in relevant markets. This act further delays the resolution of this matter. As you expect, this additional delays extremely frustrating to us as we believe like commissioner sit in, the record contains all necessary information for the Railroad Commission to rule in favor of West Texas LPG. We also believe this matter has the potential to become a President setting rate case in the State of Texas and as such will be hard fought both politically and legally without any certainty as to the timing of this resolution. Specific to our case, we know that several pipeline owners have put forward [indiscernible] in favor of our position, those entities include Enterprise Products Partners, Energy Transfer Partners, Magellan Midstream Partners, Williams and Howard Energy Partners. Now lastly this morning, a newer hosting and Analyst/Investor Day meeting this year, we will be issuing our 2018 full year cash flow guidance next Wednesday, February 21st, after market close. We hope all interested parties will join us on the conference call, as we walk through the projected cash flow for each of our segments by asset and give guidance on our capital spending for 2018. More information regarding the conference call can be found on our website. Emily, this does include our prepared remarks this morning. We would now like to open the lines for questions and answers.
Operator: [Operator Instructions] And our first question comes from the line of Matt Schmid from Stephens. Your line is open.
Matt Schmid: Hey. Good morning guys.
Joe McCreery: Good morning, Matt.
Bob Bondurant: Good morning.
Matt Schmid: Good. Well Bob, touched on it a little bit, but clearly the butane logistics business has been strong and maybe could you just provide a little additional color about, just how the business and spot the man has been trending in the first quarter of this year?
Bob Bondurant: Yes, it's been a little bit behind due to some weather, some disruptions in the high storm and the things that we had come through with some weather. So that kind of got us a little bit behind, but we still expect first quarter to be on budget.
Matt Schmid: Okay, great. And…
Bob Bondurant: I'll just add that it's becoming extremely difficult for transportation and things like that in that, so our transportation network and everything that we have there, concern in trucks has really helped us relative to a lot of other people in the business. So, it continues to be a strong good business.
Matt Schmid: Okay, great. And, just moving West Texas LPG, I mean obviously the tariff case is ongoing. But, maybe if you could provide a little color about the lower fourth quarter distribution and just it being down sequentially?
Bob Bondurant: Yes this is Bob, I'll take that question. It was the West Texas LPG distribution committing for a lack of a better word, had some big property tax build that came in January, the business cash flow like normal, but they said we need to hold some cash and reserve to pay property taxes. So that was, that was why the holdback happened. And we did a reasonable forecast if you remember, we had forecasted two things we did not forecast for that holdback number one, and number two was we have forecasted beginning in the third quarter 2017 increased rates as we brought the resolution of the issue in front of the Railroad Commission what have been, would have occurred. Thanks we'll get, should get back to normal again kind of a preview you will see, a preview next week of our guidance, well we're talking about this and we are not in our guidance going to give any increase in, our resolution of the rate case, I guess we've been disappointed and that how it's evolved over time. So, we're not going to do that. So, when we give guidance next week, I just want you to know that we factor that into the equation or did not factor any increases.
Matt Schmid: Okay, well that's a helpful color. Thank you very much.
Bob Bondurant: You bet.
Operator: Our next question comes from the line of Tom Murphy from Raymond James. Your line is open.
Tom Murphy: Hi thanks for taking my call and congrats on finishing the year pretty well. Just on the West Texas LPG expansion, I was curious if you had any color to add on financing assumptions and the timing all through, are consistent with what you guys had last quarter?
Joe McCreery: Yes Tom thanks. This is Joe, I'll take the question. From a perspective a couple of things one, we are certainly moving forward with the project as we are rated out last quarter, we certainly like the expansion and the opportunity it presents. And so from that perspective, what we're doing is working with our senior vendors on a plan to effectively assisting the funding of that and we'll lay that out next week on our guidance call. But, as I mentioned with respect to our $40 million of capital that's required there, it's pretty frontend loaded about 25 to that 40 is coming due here, we'll spend in the first two quarters of calendar 2018. So, we're working with the banks on that and we will provide that resolution next week.
Tom Murphy: Okay, thank you very much. That's all from me.
Operator: Our next question comes from the line of Mike Gyure from Janney. Your line is open.
Mike Gyure: Yes, can you guys talk a little bit about the Terminalling and Storage segment and kind of the hurricane costs and if there is anything else to do there, maybe even on the recovery side of things, how that's working out?
Bob Bondurant: Yes, so big picture of the impact over the course of Q3 and Q4 was approximately about between repair and maintenance cost, maintenance capital expenditures that hit our DCF line and then also loss revenue primarily in the sulfur business, because refineries are down, we couldn't get volumes in the third quarter, really the month of September. The total impact was about $5.5 million spread over those two quarters and then probably about $200,000 or $300,000 left to spend I think in Q1.
Mike Gyure: Okay great. And then maybe can you talk a little bit about, may be your expectations, may be this is for next week about, kind of the upcoming asphalt season or what you are seeing there at this point?
Bob Bondurant: Yes, we'll discuss, but it feels much better than it did a year ago, I'll just leave it at there.
Joe McCreery: Yes, and this is Joe and we'll have, Mike we'll have the benefit of course of Hondo for the fourth season as I mentioned in the prepared remarks, truly benefiting from the full winter filled season now and then of course the application season in the spring and summer of next, of this year. So, we're in pretty good shape, we'll talk about that next week.
Mike Gyure: Okay great, thanks very much guys.
Operator: Our next question comes from the line of T.J. Schultz from RBC Capital Markets. Your line is open.
T.J. Schultz: Hey guys, good morning. Just on the rate case, what so, where is the next Railroad Commission meeting and if you could just expand a little bit on what the two members exactly wanted to study after the January, I guess January 23rd meeting that causes latest delay and kind of what you are expecting?
Scott Southard: This is Scott Southard. January 23rd, when the case was remanded back to the ALJ, what that we were looking for was just additional market information to really prove up the competition for the market. The next meeting is set for February 27th, we're not sure if we get on that agenda or not in the meantime, West Texas as filed a motion for reconsideration and ask for some interim rate relief that is yet to be considered by the Railroad Commission. We're waiting for some feedback on that as well.
T.J. Schultz: Okay. So, when you know if you are on that February 27th docket?
Scott Southard: It will be best 7 days before the meeting. So in the next week or so.
T.J. Schultz: In the next week or so. Okay.
Joe McCreery: And T.J., I'll just add, we're not anticipating any resolution here any time soon as Bob mentioned, kind of sneak peak on the guidance, there is no resolution factored into the financials for 2018. So from our perspective we're still a ways away here.
T.J. Schultz: Okay understood. And then can you just remind me just moving on Cardinal, you've got some contracts that come up just remind me kind of what's due to come up to re-contract this year and your expectation on cash flow impact?
Bob Bondurant: Yes again we'll get into further detail next week on our guidance, but we do have contracts rolling over a periwheel, I think a total of approximately 8 piece I believe and those obviously will be contracted at lower rates and what exist today. So there will be a reduced cash flow impact beginning in July of 2018 and we'll lay that out and you will be able to see those numbers in our quarterly guidance next week.
T.J. Schultz: Okay sounds good. We'll talk next week, thank you.
Bob Bondurant: You bet.
Operator: Our next question comes from the line of Kyle May from Capital One Securities. Your line is open.
Kyle May: Hey good morning everybody.
Bob Bondurant: Good morning.
Kyle May: One quick one on the West Texas LPG distribution, can you talk about any tax impacts from that on the fourth quarter?
Bob Bondurant: Tax, as when you are saying that, you are saying because the tax law change?
Kyle May: You're right.
Bob Bondurant: There were no impacts from that, no.
Kyle May: Okay and then what about going forward?
Bob Bondurant: Yes it's a pass through entity, so we don't expect there will be any impact from tax law changes at West Texas LPG.
Kyle May: Okay great. And one quick one, you were talking earlier about funding the West Texas LPG with or working with lenders to fund that, can you maybe expand on maybe consideration of what you are looking at is that, covenant waivers or something else of that nature?
Joe McCreery: Yes, I think we'll handle a couple of structural elements within our revolving credit facility Kyle. This is Joe and that's certainly one of the things kind of giving us some lead way within the revolving credit facility, almost treating it like an acquisition as you may be aware, we have a springing covenant because that is receptive to acquisition activities from M&A. And so, we're going to get kind of favorable treatment from this construction project and process almost treating as different acquisition. And then another structure element which will describe with respect to the revolving credit facility next week that it will also help in the build out.
Kyle May: Okay great. And last one if I can squeeze in, can you maybe walk through the assets that are listed on the balance sheet is still for sale?
Ruben Martin: Yes, one is that our refinery and state-of-the-art it's a hydrotreater that is for sale and in the balance are some older Marine assets, Kyle, I don't know the exact number, but it's a handful of barges in total. Have not created any revenue, none of these assets have created revenue in the last few years. So, that's what those are.
Bob Bondurant: And I'll just make a point on the Hydrotreater in Arkansas, it was never we had purchased it out of a used equipment type of business and planned on putting it in and we found a better way to increase our hydrogen production up there that we didn't need it, so it's going to asset for sell its never been used and it's the same thing with marine equipment there are not generating any revenue. There actually having expense with keep them laid up, so that's one of the reasons we've got them on the market.
Joe McCreery: And Kyle, this is Joe. Our 10-K will be filed tomorrow after market close, if you got a weekend reading and events of the guidance call, but you get little more clarity there, so just look for that tomorrow.
Kyle May: Got it, okay thanks a lot guys. I appreciate it.
Bob Bondurant: You bet.
Operator: Our next question comes from the line of Lynn Shen from HITE. Your line is open.
Lynn Shen: Hey good morning, thanks for taking my call. I just want to ask that recently there are a lot of discussions of IMO 2020, means that there refinery review be required to produce less sulfur products. I'm just wondering should this is going to be good for your sulfur business or kind of a negative there business?
Bob Bondurant: It doesn't make a change, we have already saw that problem, we have a minimal amount of sulfur in our crude oil and what we do have, we have enough hydrogen treated. We make an ultralow sulfur diesel that is acceptable into the marketplace and our lubricants are as all of those particular test. And so, as far as the impact it said the refinery, but as far as the impact on everything else we expect the sulfur volumes to stay about the same. We don't look for a big increase due to that, because lot of them solved their problems already. But we didn't see a big downfall when we expected the refineries a few years ago to go to the sweeter crudes, so we're seeing approximately the same amount of sulfur its up slightly probably for more it had been in the past, but we don't expect much change.
Lynn Shen: Great, thank you.
Operator: And our last question comes from the line of Jordan Stevens from Caspian. Your line is open.
Jordan Stevens: Hi guys, just wanted to and, what is, just maybe something for next week with guidance, but, obviously the call price and your bonds stepped down today. I just wanted to understand if you were still thinking of doing anything on kind of that part of the capital structure, as you are thinking about West Texas LPG in the rest of the year?
Joe McCreery: Jordan, this is Joe, I'll take the question. I wish we could asked two weeks ago, I think we would had a much easier answer for you. Obviously the markets have not been cooperating with respect to, a back-up in yields vis-à-vis where we think we could issue something on an accretive DCF nature. And so, we're very, very keen on watching we understand that the notes are cargo today 101 spot 8 and so from our perspective we would like to do something, if we could make it accretive on a DCF basis as I said. But, we're watching it very, very closely and continue to do so. But, we'll try a little more on insight on that next week, but really kind of market providing I think it's reasonable to assume that we would do something. But again I think we've kind of backed up maybe 40 to 50 basis points during the last kind of 10 days that has made it a little more difficult for us.
Jordan Stevens: Got it. And that makes perfect sense.
Operator: And there are no further questions at this time. I would like to turn the call back over to Ruben Martin, for closing remarks.
Ruben Martin: I want to thank everybody for interest in our company and we appreciate the questions and everybody dialing in. We enjoyed a good strong fourth quarter and good coverages for the fourth quarter which gave us good coverages for the year. Next week, we'll give the detailed cash flow guidance for the next year. And with that, I want to thank everybody for again dialing in.
Operator: This concludes today's conference call. You may now disconnect.